Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SBA Second Quarter Results Conference Call. At this time, all parties joining by phone will be in a listen-only or muted mode. And then later, we’ll conduct a question-and-answer session, instructions will be given to you at that time. [Operator Instructions] As a reminder, the conference is being recorded. I'll now turn the meeting over to our host, Vice President of Finance, Mr. Mark DeRussy. Please go ahead, sir.
Mark DeRussy: Thank you. Good evening, and thank you for joining us for SBA second quarter 2018 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we'll discuss on this call is forward-looking, including, but not limited to, any guidance for 2018 and beyond. In today's press release and in our SEC filings, we detail material risks that may cause our future results to differ from our expectations. Our statements are as of today, July 30, and we have no obligation to update any forward-looking statement we may make. In addition, our comments will include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our supplemental financial data package, which is located on the landing page of our Investor Relations website. With that, I'll turn the call over to Brendan.
Brendan Cavanagh: Thank you, Mark. Good evening. The second quarter was another very solid quarter for SBA. We continued to gain momentum in both our leasing and services businesses and produced very positive operating results. Total GAAP site leasing revenues for the second quarter were $429.9 million, and cash site leasing revenues were $424.7 million. Foreign exchange rates were significantly weaker than our estimates for the second quarter, which we've previously provided with our first quarter earnings release, negatively impacting leasing revenue by $1.4 million. Same tower recurring cash leasing revenue growth for the second quarter, which is calculated on a constant-currency basis, was 5.4% over the second quarter of 2017, including the impact of a 1.5% of churn. On a gross basis, same-tower growth was 6.9%. Domestic same-tower recurring cash leasing revenue growth over the second quarter of last year was 6.4% on a gross basis and 4.7% on a net basis, including 1.7% of churn, a little less than half of which was related to Metro/Leap and Clearwire terminations. Domestic same-tower recurring cash leasing revenue growth on a gross basis increased sequentially over the first quarter. As operational domestic leasing activity and backlog levels continue to be strong, we expect to see the year-over-year domestic gross same-tower growth rate increase sequentially throughout 2018. Internationally, on a constant-currency basis, same-tower cash leasing revenue growth was 8.9%, including 80 basis points of churn or 9.7% on a gross basis. Gross organic growth in Brazil was 10.6%, which was also a sequential increase over the first quarter. Domestic operational leasing activity, representing new revenue signed up during the quarter, remained strong in the second quarter and well above year-ago levels with solid contributions from each of the big four carriers. Newly signed up domestic leasing revenue came about 2/3 from amendments and 1/3 from new leases, and the big four carriers represented 96% of total incremental domestic leasing revenue that were signed up during the quarter. Each of our major U.S. customers remained active, investing in their networks, and we expect to continue to see a healthy level of new lease and amendment signings throughout the balance of the year. Internationally, we had another solid leasing quarter, particularly in Brazil, where we had good contributions from both Claro and Vivo. During the second quarter, 85.9% of consolidated cash site-leasing revenue was denominated in U.S. dollars. The majority of non-U.S. dollar-denominated revenue was from Brazil, with Brazil representing 12.4% of all cash site leasing revenues during the quarter and 8.9% of cash site leasing revenue, excluding the revenues from pass-through expenses. With regard to second quarter churn, we continue to see churn from leases with Metro/Leap and Clearwire consistent with our expectations. As of June 30, we have approximately $16 million of annual recurring run rate revenue from leases with Metro/Leap and Clearwire that we ultimately expect to churn off over the next 2 to 3 years. Domestic churn in the second quarter from all other tenants on an annual same-tower basis was 90 basis points. Tower cash flow for the second quarter was $337.6 million. Tower cash flow was negatively impacted by $0.9 million in the second quarter due to weaker foreign exchange rates than those previously anticipated. Our industry-leading operating margins remain strong during the quarter. Domestic tower cash flow margin was 82.1% in the quarter. International tower cash flow margin was 68.6% and 90.5%, excluding the impact of pass-through reimbursable expenses. Adjusted EBITDA in the second quarter was $318.9 million, which was negatively impacted by $0.8 million due to weaker-than-anticipated FX rate. Our adjusted EBITDA results in the quarter were driven by solid results from both our leasing and services businesses. Services revenues in the second quarter were $26.4 million, up 8.8% over the second quarter of 2017. Cash SG&A for the quarter was in line with expectations and continues to remain very low as a percentage of total revenue. Adjusted EBITDA margin was 70.7% in the quarter compared to 70.6% in the year-earlier period. Excluding the impact of revenues from pass-through expenses, adjusted EBITDA margin was 75.5%. Approximately 99% of our total adjusted EBITDA was attributable to our tower leasing business in the second quarter. AFFO in the second quarter was $213.5 million. AFFO per share was $1.83, an increase of 5.8% over the second quarter of 2017. AFFO was negatively impacted by $0.8 million or $0.01 per share relative to last quarter's forecasted assumptions due to weaker-than-anticipated foreign exchange rates during the quarter. During the second quarter, we continued to invest in expanding our tower portfolio, deploying incremental capital into both new tower builds and acquisitions. During the second quarter, we acquired 224 communication sites for $152.3 million, with most of those sites located in the U.S. We also built 87 sites during the second quarter. As noted in our press release, subsequent to quarter-end, we have acquired 23 additional communication sites for $5 million. In addition, this afternoon, after our press release had been provided to the news wire, we closed the first 451 [ph] sites located in El Salvador from the previously announced acquisition from a local subsidiary of Millicom International. As of today, we have 416 total additional site under contract for acquisition at an aggregate price of $99.3 million, including 360 sites remaining under the El Salvador Millicom transaction. We anticipate that these sites will close throughout the balance of 2018 with some spilling into 2019. We also continue to invest in the land under our sites, which provides both strategic and financial benefits. During the quarter, we spent an aggregate of $18.1 million to buy land and easements and to extend ground lease terms. At the end of the quarter, we owned or controlled for more than 20 years the land underneath approximately 71% of our towers, and the average remaining life under our ground leases, including renewal options under our control, is approximately 34 years. Turning now to our updated outlook for full year 2018. The variances in the actual second quarter foreign currency exchange rates versus our assumptions made last quarter, plus the changes in our foreign currency rate assumptions for the remainder of the year, have negatively impacted our full year 2018 outlook by approximately $11 million for site leasing revenue, $7 million for tower cash flow and $6 million for both adjusted EBITDA and AFFO. Excluding the impact of FX changes, we would have increased our full year leasing revenue outlook by $3 million, tower cash flow by $2.5 million, adjusted EBITDA by $2 million and AFFO per share by 1 10. Our outlook for full year site leasing revenue includes a $1 million increase in domestic organic site leasing revenue growth. Consistent with our historical practice, our updated full year 2018 outlook does not assume any further acquisitions beyond those closed or under contract today, and it does not assume any additional debt financings or share repurchases beyond those completed prior to today. We have increased our full year outlook for net cash interest expense, primarily to account for increases in the LIBOR rates since our last earnings release as well as increases in our assumptions for LIBOR throughout the rest of the year. LIBOR impacts interest expense on our floating rate debt, including our $2.4 billion term loan and balances outstanding under our $1.25 billion revolving credit facility. These same factors impacting our 2018 full year guidance, FX and interest rates, are, without future improvement, also making it more difficult for us to produce $10 of AFFO per share in full year 2020. Our assumptions around these items when we first put out this goal over 2 years ago, which were largely based on forward-interest rate curves and projections at the time, were materially lower than where we are today. We also projected repurchasing more stock with the same amount of repurchase dollars. Even though our domestic lease up is anticipated to be better in 2018, '19 and '20 than we initially thought it would be, the FX and interest rates spends are looking tough at this point and something we, of course, watch on a daily basis. I will now turn things over to Mark, who will provide an update on our liquidity position and balance sheet.
Mark DeRussy: Thanks, Brendan. SBA ended the quarter with $9.6 billion of net debt, and our net debt to annualized adjusted EBITDA leverage ratio was 7.6 times, just above our targeted range of 7 to 7.5 times. Our second quarter net cash interest coverage ratio of adjusted EBITDA in the net cash interest expense was 3.5 times. As we disclosed with our first quarter earnings release, we were active in the debt capital markets during the second quarter. On April 11, through a wholly-owned subsidiary, we obtained a new $2.4 billion 7-year senior secured term loan B. The term loan was issued at 99.75% of par and will mature on April 11, 2025. It bears interest at LIBOR plus 2% per year. The proceeds of the term loan will use to repay and retire our $1.93 billion of outstanding, existing term loans to pay off the existing outstanding balances under our revolver and for general corporate purposes. In addition to the term loan, we also amended our revolving credit facility at the same time, increasing a total commitments under the facility from $1 billion to $1.25 billion; extending the maturity date to April 11, 2023; lowering the applicable interest rate margins and commitment fees; and amending certain other terms and conditions. As of today, we have $90 million outstanding under the revolver, currently accruing at an interest rate of LIBOR plus 1 50. Our next refinancing obligation is not until late 2019. The weighted average coupon of our outstanding to debt is 3.8%, and our weighted average maturity is approximately 5 years. As previously disclosed, earlier this year, our Board of Directors approved the authorization of a new $1 billion stock repurchase plan. During the second quarter, we spent $306.9 million under this plan to repurchase 1.9 million shares at an average price of $163.44 per share. All the shares purchased were retired. As of today, we had 654.5 million of authorization remaining under the repurchase plan. The company shares outstanding at June 30, 2018, are 114.8 million, down from 121 million at June 30, 2017, or 5.1% reduction. With that, I'll now turn the call over to Jeff.
Jeffrey Stoops: Thanks, Mark, and good evening, everyone. We had another very solid, clean, straight-forward quarter. Solid new leasing business booked in the quarter allowed us to increase our 2018 domestic new leasing revenue forecast. Leasing and services backlogs increase we executed well, and we invested incremental capital in both portfolio growth and share repurchases. Operationally, it was a very strong performance. In the U.S., all 4 major U.S. wireless carriers have remained very busy, maintained the increased level of new leasing business signed up that we saw in the first quarter, which drove the increase to our forecasted contribution to full year 2018 leasing revenue from organic, domestic new leasing activity. During the second quarter, we again saw solid leasing contributions from all of our customers, very similar in terms of types and sources of signed new business to what we saw in the first quarter. Backlogs, however, climbed over first quarter end levels, which has increased our confidence in sustained domestic organic leasing growth through the rest of 2018 and into 2019. At this point, we have not seen any impact to organic leasing activity as a result of the announced T-Mobile/Sprint merger, and our interactions with both companies continue to be business as usual. On last quarter's call, we mentioned that we have begun to see 5G-oriented activity on macro sites outside of urban areas. We continue to see this activity and are excited about what 5G ultimately will mean for SBA. Mobile 5G will require the deployment of advanced radios and antennas across carrier macro footprints. With only a small fraction of this deployment happening over the last several quarters, the vast majority of the opportunity is still in front of us. Based on commentary from our customers, much of these 5G deployments will require the use of new NIMO antennas, which are bigger than typical antennas taking up incremental capacity at traditional tower sites and driving incremental revenue opportunities for our industry. We also expect to see additional benefits from the deployment of 5G and higher bands, particularly CBRS and C bands. Upcoming spectrum options, the DISH deployment, the potential resolution of the legato spectrum and other items with all help keep the U.S. market a very interesting and active place for the foreseeable future. Internationally, we also had a very strong leasing quarter, particularly in Brazil. In Brazil, we had solid contributions from all 4 major wireless carriers, including a nice increase in amendment activity with Oi. Oi continues to proceed steadily toward completion of its restructuring. Gross organic same-tower revenue growth increased sequentially in Brazil over the first quarter on a constant-currency basis. The contractual revenue signed up during this quarter in our international markets came about 55% from new leases and 45% from amendments, and we expect the next to remain fairly balanced going forward. Notwithstanding a solid leasing activity during the quarter, we were, of course, disappointed in the material decline in the Brazilian reais in the second quarter. And there maybe some continued bumpy days had before we get to the October presidential elections. But the underlying Brazilian economy seems to be improving, and we believe an opportunity for more stability exists once we have moved beyond the October elections. For example, the Brazilian agribusiness industry is showing real strength in the face of trade issues involving other countries. And increased oil prices, of course, held Brazil's best energy industry. For our part, we continue to focus on helping our customers address the ever-growing demands on their networks and organically growing our revenue base in our existing markets. Operationally across all of our markets, we continue to perform at a high level of efficiency. We continued to convert the vast majority of incremental leasing revenues into tower cash flow and adjusted EBITDA. In the second quarter, our tower cash flow margin was 79.5%, and our adjusted EBITDA margin was 70.7%. Our adjusted EBITDA margin, again, ticked higher year-over-year. We take great pride in these margins and focus on continuing to move them up everyday as we believe they demonstrate the efficiency, effectiveness and organization of our support operations, our focus on cost control and the quality of our assets and contracts. With regard to our balance sheet, we continue to believe in the current interest rate environment. The best way to maximize shareholder value is to stay levered at our target range of 7 to 7.5 turns of net debt to last quarter's annualized adjusted EBITDA and investing incremental capital into quality portfolio growth and attractive share repurchases, and we did both in the second quarter. During the second quarter, we added 311 sites to our portfolio, with over 70% of those sites in the U.S. And with the sites we currently have under contract to acquire, we remain negotiate to achieve our 5% to 10% portfolio growth goal this year. In addition, going to second quarter, we spent over $300 million to repurchase 1.9 million of our shares. During the second quarter, we also demonstrated that we remain a highly preferred issuer in the debt markets and the successful term loan financing and an extension and favorable repricing of our revolver. We are extremely attractive credit to investors in each of the debt markets we access for capital, allowing us great flexibility in maintaining our target leverage goals, although we have no debt maturities until late 2019. We believe our access to attractive financing and focus on disciplined tower acquisitions and opportunistic share repurchases will continue to allow us to drive increases in shareholder value for growth in AFFO per share. We've had a strong first half of 2018, and we're excited and optimistic about the prospects for the rest of this year and for 2019. I'd like to thank our employees and our customers for their contributions to our success. And at this time, Laurie, we're ready to open it up for questions.
Operator: [Operator Instructions] Our first question from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Thanks. Good afternoon, guys.
Jeff Stoops: Hey, Ric.
Ric Prentiss: Hi. Obviously, nice, clean, straightforward quarter. We like those. When we look at - I appreciate your comments also about you've seen no impact from Sprint/T-Mobile merger on the activity. One other one, AT&T FirstNet seemed to have had a little switch in their planning. Originally, we thought they might be doing 20,000-plus sites this year based on their first quarter announcement. And on second quarter call, they kind of said may be 12,000 to 15,000 they would touch this year, still planning to do the whole project. So can you talk a little bit about the pacing you've seen from AT&T? And I interpret this to mean that no change to your guidance even with the change from AT&T kind of stance on '18 work?
Jeffrey Stoops: No. No change to our guidance, but I would take their comments, which is that the second half of the year would need to be busier than the first half would be entirely consistent with our comments.
Ric Prentiss: Great. And you also mentioned, I think, Brendan, that 451 sites closed in El Salvador. That would have been, I guess, already in your guidance because it's under contract or closed, but was there any switch in the timing of that then? Or is it fairly small?
Brendan Cavanagh: Yes, it's fairly small, but there was a little bit of a delay in terms of our expectations of timing. So it was a month or so, and you can actually kind of see that on our revenue bridge where you see the M&A internationally stepped down slightly. That's what it's due to. But doing that close today, it's now back on track.
Ric Prentiss: And then final question for me. We get a lot of questions and I appreciate the $10 commentary, but we get a lot of questions on can we see with AT&T FirstNet ramping to the second half this year like you pointed out, Jeff, and Sprint hopefully continuing to ramp up their project. Is there the possibility to get back to the 2013 leasing levels? Is it end up somewhere in between? Just people I think are trying to gauge are there inflection points in this business? And how should we think about growth rates with different activity levels we're seeing?
Jeffrey Stoops: Yes. I think it will be hard to get back to the 2013 growth rates, in large part because you're operating under a much lower revenue for tower base at that time. And if you kind of compound what's happened since then, it takes a whole heck of a lot more dollars per transaction to accomplish the same growth rate. I - and literally somewhere in between, Ric, which is still got to produce, I think of extremely healthy shareholder value creation.
Ric Prentiss: Great. Appreciate the added color.
Operator: And we go to Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Thank you very much. Jeff, can you just comment on the overall pricing environment, the competitive environment? Any more activity by the two elements [ph] of the world? And then, Brendan, perhaps you can talk about the balance sheet? You went over the top end of your range, 7, 6 [ph] this quarter. You still bought back stock. You have some acquisitions to pay for. But how are you thinking about how you balance all those? And do you want to sort of stay at the high end of the range for the next couple of quarters? Thanks.
Jeffrey Stoops: The pricing environment, Simon, continues to be healthy. Our customers are busy trying to meet some deadlines that they really want to meet. So they - that factors into all of the ways that we look at price. But at the end of the day, we're there to - for a very long-term, productive leadership on both sides. In terms of the other players and their impact on that, it really hasn't had any material effect. A lot of those sites that those folks are seeking are not in areas that we have historically been interested in. And in areas where they are, they are of a very limited nature. So really, it's a fairly optimistic environment for us at this point.
Brendan Cavanagh: Simon, on the balance sheet question, we did end up just slightly ahead of our - or slightly above our range, in part, due to the FX actually coming in a little bit weaker. But it's our intention to stay within the range. We're comfortable at the high-end of the range, but it's really going to be driven by opportunities to buy quality assets or to buy stock opportunistically. So as we see those opportunities, we’re very comfortable staying at the high-end of the leverage range to do that.
Simon Flannery: And you've got to keep the floating balance pretty much where it is as well?
Brendan Cavanagh: Yes. I mean, we did obviously just do a bank financing that increased our floating exposure during this quarter, but it was our first floating rate debt that we raised in the last 3 years. And I would expect our next 5 or so financings to all be in the fixed rate markets. And so I think that our shift - that we'll see a shift in the mix of fixed to floating a little bit back towards fixed a little bit more, but 75% to 80% fixed is our ideal target.
Jeffrey Stoops: Yes, I would just add, wherever we are today coming out of the recent bank and revolver deals, kind of be the high watermark as we move through the next financings, which is Brendan said, are all going to be fixed rate.
Simon Flannery: Okay, that’s helpful. Thank you.
Operator: And we go to Phil Cusick with JPMorgan. Please go ahead
Phil Cusick: Hi, guys. Thanks. Brendan, I wonder if you can give us some more color on your comment that domestic lease up has been better and expected to be better in '18, '19 and '20 than you thought when you gave the 2020 $10 guide. I assume it's not good enough to offset the FX and interest expense. But can you just go through what's been better over the last couple of years since you gave that guidance?
Brendan Cavanagh: Yes. It's not been better in that regard over the last couple of years. It's this year and going forward that we expect it will - just based on the backlog that we built up at this point, we expect to see higher leasing results than what we anticipated when we gave that guidance or that target out a couple of years ago. But you'll remember at that time, we were thinking that if the leasing activity could stay similar to what we were seeing at that time, that we'll be able to get to the $10 number. But that also did assume that we would see relatively stable interest and FX rates. And basically, today's interest and FX rates, it's unlikely we would get to the full year 2020, even with the increased lease up that we'd expect to see over the next couple of years. But again, it's really a timing issue. It may just be a couple of quarters delayed from what we originally projected. We will ultimately get to the $10 number, just may not be by full year 2020.
Jeffrey Stoops: Yes. And I mean, the reason for the optimism, Phil, around the leasing is the projects and the things that are driving leasing today, for the most part, a multiyear projects that we would expect to continue through that 3-year time period.
Phil Cusick: Great. And you also mentioned Oi picking up, can you remind us where you are on concessions, and those tariffs in Brazil?
Brendan Cavanagh: Yes, the – I mean, we have, portion, I don't know the exact - Brendan, I don't know if you do know the exact number of towers that are wireline towers that are subject to the concession…
Jeff Stoops: Yes. I believe it's approximately 2,100 sites.
Brendan Cavanagh: 2,100 of those, Phil, are concession towers that are, I believe, 2025.
Jeff Stoops: Right.
Brendan Cavanagh: But then Oi has a contractual guarantee through, I believe, 2035 should something happen to the concession that would affect those particular assets.
Phil Cusick: And any changing in Oi's charter as we go through bankruptcy around these concessions?
Jeffrey Stoops: No. No. I think most people are relying on the belief that the government, which has signaled its intent and willingness to change the concession. It just happens to have gotten hung up. Nothings likely to get done until after the presidential elections. Although there hasn't been any real opposition, to my knowledge, to the concept. It's just not something that's going to get done until there's a new regime in place.
Phil Cusick: Understood. Thanks, guys.
Operator: And we go to Amir Rozwadowski with Barclays. Please go ahead.
Amir Rozwadowski: Thank you very much. And good afternoon, folks.
Jeffrey Stoops: Hey, Amir.
Amir Rozwadowski: I have two questions, if I may. One is really on the allocation of spending dollars with macro site versus small cells. Largely, when we look at Verizon's commentary that they made in bringing their sort of CapEx outlook to the lower end of their guidance, one of the elements of that was their anticipated shift from macro site investing to more small cells. Are you seeing that relative to the activity levels? It doesn't sound like - I just want to clarify.
Jeffrey Stoops: Well, it's a hard question for us to answer, Amir, because we don't do a lot of the small cells. And the level of activity that we're seeing today on macro spending is way up from a year ago. So kind of a hard one to answer, could it even more up than way up? I guess, but that's probably the best answer I can give you.
Amir Rozwadowski: No, that's very helpful. So you're still continuing to see very healthy levels of macro site adjustment from that?
Jeffrey Stoops: Certainly compared to a year ago, yes.
Amir Rozwadowski: Okay. That's helpful. And then going back to your commentary around that $10 per share target. Recognizing that some of those factors were FX-related and sort of to factors outside the operational control of the business. How do you think about the long-term AFFO growth rate of the business at this point? I realize there are some nuances to the timing to $10 , but are you still comfortable in terms of your long-term expectations for AFFO growth here?
Brendan Cavanagh: If we can get to a stable FX and a stable interest rate environment, it is absolutely a double-digit AFFO compounding business.
Jeffrey Stoops: One caveat to that, of course, is that a number of years from now we will be becoming a dividend payer as an obligation as a REIT, and that will influence the growth in AFFO per share as that obligation grows. But otherwise, which I’ve said is exactly right, we'd expect it to be a double-digit grower in a stable interest rate and FX environment.
Amir Rozwadowski: Great. Thank you very much for the incremental color.
Operator: And we go to David Barden with the Bank of America Merrill Lynch. Please go ahead.
David Barden: Hey, guys. Thanks for taking my question. I guess, just two. Brendan, I think you said the Clearwire Metro/Leap churn was about 6 or - remaining balance is about $16 million. And in the quarter, we have about a $3 million churn, 8 basis points associated with that 8 [ph] basis points. So that would kind of argue that the boil off should be may be in the next 5 or 6 quarters, and you said something about the next several years. So if you can give us a sense as to the trajectory or what the determining factors are for that churn kind of getting behind us? And then the second one was just picking up - sorry again, this $10 number, but back in the day, what it informs that was the forward rate curve for the Brazilian real and the forward rate corporate interest rate. I mean now, like it's now challenging. We might not get there right on time, but may be not really ready to throw the tower yet. What are the breakpoints? If we have the 400 real after the presidential election, is that - that's just going to put a nail in that? Or if we get 300, it's definitely back on the table. Can you kind of put some parameters on this, as we watch rates in the real, we kind of get a sense as to how you're thinking about the business, it will be helpful? Thanks.
Brendan Cavanagh: Sure. First, on the churn question, David. I don't feel - I think the number you're using is based on the percentage that we gave. That's actually a same-tower numbers reflective of the trailing 12 months activity, but it is $16 million of remaining annual revenue that we have from those guys that we expect to churn off. And our projections just based on when lease term end dates are and when they can basically get out of the agreements is that, that will take about 2.5 years approximately to churn off. So that's where the 2 to 3 years comes from.
David Barden: And we should prorate over that period, you think?
Brendan Cavanagh: Yes, I think, sometimes it comes in waves. But for the most part renewal dates are spread relatively evenly, so I think probably a little more in the next 12 months or so. But on average, it's not going to be materially different than prorating it.
Jeffrey Stoops: On the second question, David, I think we're going to respectfully decline to answer that. I will tell you that we are at a point where there are 4, and really only 4 variables at this point. It's the lease up rate, it's interest rates, it's the Brazilian reais and it is the multiple leve, which we repurchased our stock or purchase assets. I would like to come back to this after the presidential election in Brazil and probably when we get our full year guidance out for 2019 because prior to that, just becomes a daily exercise. I'm not sure if that's useful.
David Barden: All right, Jeff. Thanks for that.
Operator: We go next to Nick Del Deo with MoffettNathanson. Please go ahead.
Nick Del Deo: Hi. Thanks for taking my question. First, you guys acquired a lot more towers in the U.S. this quarter than you had in a while. Is there anything worth calling out there right around the dealer deals you consummated to get there? Or the M&A market in the U.S. in general? Is this sort of - should we think of this as a one-off? Or is it going to change in pricing expectations by sellers so you can pick up more assets than you have…
Jeffrey Stoops: No. I think you should view it as a one-off. We had an opportunity to pick up some quality assets, and we did.
Nick Del Deo: Okay. And then on Verizon, talking about shutting out the CDMA network at the end of 2019. Obviously, you guys won't see any sort of immediate rent step down because of that, but I was hoping you could talk about the puts and takes we should be thinking about overtime stemming from 3G de-commissioning?
Jeffrey Stoops: Yes, what typically happens when there is a de-commissioning of a prior technology is the entitlements get rolled into the equipment that's needed. So it will, at worst, typically from our perspective, results in some lessening, perhaps, of amendment rates while they swap out antennas or create some capacity for what's needed back. So that's really how it's worked in the past, Nick.
Nick Del Deo: We did you see any sort of material impact along those lines when AT&T shut down its 3G network?
Jeffrey Stoops: No...
Nick Del Deo: Okay. All right. Thanks
Operator: And we go to Mike Rollins of Citi. Please go ahead.
Mike Rollins: Hi. Thanks for taking the questions. Two, if I could. So just back to kind of a longer-term financial strategy of the company. Can you talk more about as you move through 2020 and beyond, you mentioned leverage a few times? How should investors think about the amount of deleveraging that you'd like to see in the model? And where those net-debt leverage ratio should end up, were those in 2020 time frame or even a few years beyond that? And then secondly, if you look at the tower cash flow margins x pass-throughs, there is a sequential dip 1Q to 2Q. And just curious if there's anything out of trend, either last quarter or this quarter, that we should think about as you are managing the tower cash flow margin for the company x the pass-throughs. I think it's Slide 12 in the supplementals? Thanks.
Jeffrey Stoops: Well, our game plan, Mike, would be to be somewhere in the 6s, as we become a dividend payer because we'll start small and then grow the dividend from there. And probably, the one thing that we have not yet decided with [indiscernible] is whether as a dividend-paying company, will we feel the need to become an investment-grade company. And that ultimately will be the primary driver of our ultimate leverage positioning. But I could tell you now that we would -- as we move into a dividend payer, we'll move from the 7s to the 6s.
Brendan Cavanagh: Mike, on the tower cash flow margin, there's a few different factors that affected that. Some of those had to do with certain non-recurring type items and also some of the assets that we’ve guided during the period that come on at lower margins and new builds that we've done as well. So as of those kind of get blended in, they help to kind of pull it down as well. So it's not really representative of any shift in trend or anything. I think you'll continue to see it grow on average on the base business over time.
Mike Rollins: Thanks very much.
Operator: And we go to Brett Feldman with Goldman Sachs. Please go ahead.
Brett Feldman: Thanks. And I hate to do this, but I do have another question about the $10 guidance and the shift in timing. And correct me if I'm wrong, but I think you'd indicate that when you originally set that target, you're assuming fairly steady levels of leasing and you've now acknowledged it. Leasing is indeed higher than your thought about particularly in '18, '19 and '20. What I'm curious is as you assess the timing to get there, are you still assuming that '18, '19 and '20 are steady years? Because the commentary you've made about the back half of '18 and the entry rate into '19, and prior '19 probably is going to be a better year. So I'm just wondering if maybe you're using a little bit more conservatism with that long-term target relative to maybe what you have the line of sight around for right now.
Jeffrey Stoops: We do think as we sit here today, and we don't want to get too far ahead on '19 guidance, but let's just say we think '19 should certainly be at least as good as 2018, how about if we say that? But problem, Brett, is when is the Fed going to stop raising short-term interest rates to which LIBOR has almost a perfect correlation? What is the Brazilian reais going to be 2020? It almost doesn't matter what the Brazilian reais is today. What is it going to be in 2020? That means everything to the $10 by '20. I mean, those are the things that are ultimately going to dictate where the final number comes out.
Brett Feldman: Okay, got it. If you don't mind, I do have one other question about the comment you made totally different topic. You said that you're seeing some 5G activity in your markets. And obviously, we don't have the standards-based gear yet. But I'm just curious, what is 5G activity? And then we will be incremental activity when that gear comes to market?
Jeffrey Stoops: Well, MIMO antennas, we're starting to see very little. That means, to your point, there's no phones yet that - and I'm not even sure when they start to come out when the first handheld devices are really out there. So there's a long, long path left for activity in that area.
Brett Feldman: Thank you.
Operator: And we go to a Spencer Kurn with New Street Research. Please go ahead.
Spencer Kurn: Hey, guys. Thanks for taking the question. So just touching on your backlog of activity. It sounds like it's up year-over-year and sequentially. Last quarter, when you thought about second quarter backlogs, I think you said it might increase or might plateau. Do you have any visibility on where it's going for the rest of the year? Are we - is it from what you've seen so far in Q3, is it continuing to rise sequentially?
Jeffrey Stoops: It has risen in the month of July. That's about all I can tell you.
Spencer Kurn: Got it. Thanks. And just one more, if I may. On the 5G deployments that you've seen, how do the amendment rates, prices compare to a typical amendment rate of around $500 a month? And then on top of that, how do you think about the amendments you may see from millimeter wave spectrum? My understanding is the equipment is a lot smaller than what we have deployed today, so I'm just curious how you think about pricing, something like that.
Jeffrey Stoops: Yes. On the - your first question, although where we're seeing it on the more traditional spectrum bands, is typically larger antennas, in some cases, with radios, in some cases, not. And where we're seeing that, you are getting increase pricing over a smaller package, and that's consistent with our history and how we approach the pricing of our towers base. In terms of the millimeter wave, Spencer, we have not seen or price a whole lot of that at this point so I'll have to get back to you on that.
Spencer Kurn: Okay. Well, thanks again.
Operator: And we go to Walter Piecyk with BTIG. Please go ahead.
Walter Piecyk’: Thanks. We talked about the - I think in the comments about, excluding impact of FX changes, the revenue, the full year leasing revenue outlook would be plus 3. Did I get that right?
Jeffrey Stoops: Yes.
Walter Piecyk’: There will be another two on the international with the one you just increased the domestic by 1 million, right?
Brendan Cavanagh: We increased the organic domestic by 1 million, that's right. I think if you look at the bridge, it's on the first page of the supplemental package, we'll be able to see the changes in there. So we have - one there and I think one on the non-organic M&A side for the domestic, domestic was up 2 and the international was down 10, but 11.5 was FX.
Walter Piecyk’: Right. So if we 5 [ph], we look at first half of the year and what's happened so far, I mean, it implies I think about a 40% growth second half over first half? And if the reason that you're still confident in that 45 just because you basically - you have these orders from these operators and you just know that they're getting it put on the towers at certain times, it's just that, that's the visibility that gets you to the 45. And is that a way for us to kind of may be rationalize why when we look at Verizon's CapEx, it was down as much as it was in this quarter? I guess that was more on the fiber side, but just CapEx in general down at Verizon that this second half ramp, not that they're the only ones that really deliver that ramp, but that's what give you confidence in the second half? Or you just - you almost know when you think you're going on your towers?
Jeffrey Stoops: A lot of the confidence is driven by the stuff we already signed. So we signed a lot of leases and amendments that our either just commencing now or is scheduled to commence in the future. So a lot of it is based on stuff that is or already booked with minor amount based on the backlog that we got and expectations for signing. But most of it at this stage of the year, because we're so far through the year, is based on stuff that we've largely executed already.
Walter Piecyk’: Understood. So 40% is pretty massive in terms of increase?
Jeffrey Stoops: Yes. I think depending on how you're measuring. Remember, this is a full year over full year item so...
Walter Piecyk’: The ramp in the new lease activities you know, second quarter is obviously bigger than first quarter, but it's going to be looking hockey stick-ish I think in the third and fourth quarter to hit that number?
Jeffrey Stoops: Yes. Well, we've had a lot more leasing activity in the first half of this year than we had certainly last year, particularly the second half of last year.
Walter Piecyk’: Great...
Jeffrey Stoops: The quarter was probably our low quarter last year.
Walter Piecyk’: Right. So Jeff just to tie that to the 2019 comments, you're already up 40% in the second half. And then [indiscernible] plus, and now you're saying also you're expecting more sequential growth in 2019 as well on top of what's going to be a very aggressive second half of the year. Do I understand that right?
Jeffrey Stoops: We're not 100% sure what the 40% is, but we certainly…
Brendan Cavanagh: Your number, Walter. We're saying that we had a okay 2017. We had a better first half. We're going to have a better second half. And right now it feels like 2019, we think, will look more like the second half than the first half.
Walter Piecyk’: Right. No, it's pretty basic math. I just backed into lower numbers in the first half. So to get to that 45 to put together your Slide 2, there has to be a big ramp in new leasing activity to make that happen. And Jeff, you were talking about 2019 sequential growth on top of that. I mean, it seems like we're embarking on kind of a new era in terms of that type of growth?
Jeffrey Stoops: Yes. I mean, we've seen material growth. I mean, we'll definitely go with the numbers afterwards to make sure we're on the same page there.
Walter Piecyk’: You bet you. But just one last question. Has DISH - have you signed a deal with DISH for any towers? Thanks.
Jeffrey Stoops: They are in the backlog.
Walter Piecyk’: Great. Thank you very much.
Operator: And we go to Batya Levi with UBS. Please go ahead.
Batya Levi: Great. Thank you. It looks like excluding churn from Leap Clearwire PCS, normal churn picked up at Taiwan [ph] and probably gotten to just that’s its going - continue to go up just a little bit. Can you talk about what the driver of that would be? And then another follow-up on the $10 AFFO guide. If you should have assumed that the FX and interest rate pulled at current levels, would you have coming in line with that target?
Jeffrey Stoops: On the churn question, we do not necessarily expect the churn on other items to increase, but just as a reminder, there is some [indiscernible] churn that is scheduled to take place in the fourth quarter. I think that's why you're seeing that there's kind of an implied, and that's what that is. But otherwise, the increase over the last couple of quarters is really due to just kind of just certain other non-big four type of tenants and the timing when those churn off, and we wouldn't expect anything materially change there. One direction or the other, that amount is fairly consistent with where we were about a year ago.
Walter Piecyk’: Okay.
Brendan Cavanagh: And then in term, we're not actually going to -- we're not going to parse this $10 by '20 anymore. It's four things, and we could do a variation a day. I'm sorry, but as of right now, FX and interest rates are making it very difficult for us even with a more rosy outlook for domestic leasing.
Walter Piecyk’: Okay. Thank you.
Operator: And our next question, Matt Niknam with Deutsche Bank. Please go ahead.
Matt Niknam: Hey, guys. Thank you for taking the question. Just on M&A, I think Nick had asked about domestic, but I'll ask it in terms of international and what you're seeing internationally. And then maybe just on the back of that as well. What's your appetite for taking more international M&A just given where you are today with leverage in some of the FX headwinds you’re facing? Thanks
Jeffrey Stoops: Well, there's more available internationally than there is domestically as we've seen and shown over the last couple of years. And yes, we have to take a look. I mean, our - we do have an appetite to grow the portfolio. We've had some great success internationally over the years. Our returns in Brazil over time have been great. We're ahead of plan on a constant currency basis. We're certainly not discouraged with Brazil and the big picture over one quarter. I mean, Brazil grew - it was probably our fastest growing market this quarter and probably for the first half of the year. So we would have an appetite, Matt. We would look at things case-by-case. We'd apply the saying discipline and methodology. We always do. We would apply a currency factor to the analysis and the ROIC and if it hit, we would - we'd be interested in moving forward. Now over time, we always are mindful in the overall governor for our capital allocation is the leverage, so we're not interested for any transaction that's going to take us for more than a temporary period of time above the 7 to 7.5. That's going to be much more of a defining point than a particular international market.
Matt Niknam: Got it. Thank you.
Operator: And we'll go to Robert Goodman with Guggenheim Partners. Please go ahead. Robert, we have your line open. Okay, we’ll close that line Robert. [Operator Instructions] Thank you. We'll go to Amy Yong with Macquarie. Please go ahead.
Amy Yong: Thanks. I was wondering if you could talk through some of the growth characteristics of the towers you bought from Millicom and maybe the operating environment there? Thank you.
Jeffrey Stoops: Well, El Salvador is a 4-carrier market, which we like. Millicom is the leader in that market. Tigo [ph] is their brand name there. So we have towers that I think are going to prove to be attractive to the other players there, particularly if they're interested in gaining at least the network of the market share leader. They're relatively low-lead tenant to towers today. I believe they are 1.2, may be 1.3 tenants per tower. A lot of upward growth opportunities there, a lot of opportunities to improve the margins through land purchases, which we've had with towers that we already own in El Salvador a great degree of success. So we're pretty excited about the opportunity.
Amy Yong: Great. Thank you.
Operator: And we go to Colby Synesael with Cowen & Company. Please go ahead.
Colby Synesael: Thank you. In previous generation upgrades, obviously, 4G being the most recent maybe the most significant, we've seen notable accelerations in growth. And as we now approach 5G, do you think that there's still an opportunity to see those accelerations in growth? Are we now at a point where it's because of law of large numbers or carriers having a certain number of self and deploying in new states for growth be relatively consistent. You mentioned for example a future growth opportunities like the CBRS or the C band. It seems like right now the acceleration that was spoken about a few times on this call into 2019 and perhaps '20 is driven almost exclusively by AT&T. But when that goes away, what do you think the growth rate of the sector looks like thereafter?
Jeffrey Stoops: I don't know that I'd agree it's just AT&T, Colby. Over 20 years, the industry has been fueled by some big booms in technological, generational technological booms. And I would say certainly, the move from 3G to 4G was the biggest. And I don't know that 4G to 5G will be as big, not the least of which reasons is the law of larger numbers. But all through that - those periods, there's - people don't stop innovating. They don't stop improving radios and antennas, and you just keep moving and the law - it's interesting, one statistic that I've always heard is that the average life of an antenna in our customer's business is 3 years, and it's not because of weather. It's not because of the fact that it wears out. It's because of technology. So things have always changed, and there's always new and better stuff that our customers seek to deploying their network to remain on the cutting-edge and I don't really see that changing. So was that an inflection point? Or is it just a long, constant upward path? I don't know the answer to that, but I think it means there's always going to be things to do.
Colby Synesael: And I guess just my follow-up question. It appears to be more mature state as you go forward, seems like the biggest driver of multiples might be things outside of your control, whether it's things like FX or it is interest rates. Under that environment, do you start to think about creating strategic value for your shareholders differently? Or does the same game plan that served you so well looking back continue to be the same?
Jeffrey Stoops: Well, I think you'll always have to look at all, all paths of creating shareholder value. But FX, we could wake up after the election and we could be back at 3 0 [ph]. And we've seen last - remember last year, we were the beneficiary of favorable movements in FX. So those are cyclical type issues that, over time, our industry has weathered very well, and we've always been able to create value. So the playbook may change a little bit, but I think the basic playbook is going to stay intact.
Colby Synesael: Okay. Thank you.
Operator: Thank you. I'll turn it back to our speakers for closing remarks.
Jeffrey Stoops: Great. Well, thank you all for joining us today, and we look forward to speaking with you again on our third quarter earnings release.
Operator: And ladies and gentlemen, this will conclude our teleconference for today. We thank you for your participation and for using AT&T Executive teleconference. You may now disconnect.